Operator: Good morning and welcome to the Horace Mann Educators Third Quarter 2023 Investor Call. All participants will be in listen only mode. [Operator Instructions]. Please note, this event is being recorded.  I’d now like to turn the conference over to Heather Wetzel, Vice President of Investor Relations. Please go ahead.
Heather Wietzel: Thank you and good morning everyone. Welcome to Horace Mann’s discussion of our third quarter results. Yesterday, we issued our earnings release, investor supplement and investor presentation. Copies are available on the Investor page of our website. Marita Zuraitis, President and Chief Executive Officer; and Bret Conklin, Executive Vice President and Chief Financial Officer, will give formal remarks on today's call. With us for Q&A, we have Matt Sharpe, Mark Desrochers, Mike Weckenbrock, Ryan Greenier and Steve McAnena. Before turning it over to Marita, I want to note that our presentation today includes forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. The company cautions investors that any forward-looking statements include risks and uncertainties and are not guarantees of future performance. These forward-looking statements are based on management’s current expectations, and we assume no obligation to update them. Actual results may differ materially due to a variety of factors, which are described in our news release and SEC filings. In our prepared remarks, we use some non-GAAP measures. Reconciliations of these measures to the most comparable GAAP measures are available in our investor supplement. I’ll now turn the call over to Marita.
Marita Zuraitis: Thanks, Heather and hello everyone. Last night, we reported third quarter core earnings of $0.44 per diluted share, again highlighting the strength of Horace Mann's diversified business model. Net written premiums rose 9%, with strong product sales across all three segments. Our supplemental and group benefits and life and retirement segments delivered strong earnings. In property and casualty, we are making progress on our plan to return the segment to profitability, despite the continued impact of severe convective storm activity across the country.  All segments benefited from the 22% increase in net investment income to a record $119 million. Bret will talk about the details of our outlook later in the call. But at a high level, we continue to expect a full year core EPS of $1.20 to a $1.45. We are successfully executing on our plans to drive profitable growth and capture a larger share of the education market. This progress was clear in both divisions during the third quarters back to school season. We remain confident in our ability to achieve a return on equity near 10% in 2024.  In the supplemental and group benefits division, we are seeing outsize growth as we invest strategically in new capabilities and strengthen distribution partnerships. The benefit of these activities will be seen even more over the coming years. In our employer sponsored line where we sell to employers instead of individuals, we expect strong first and third quarter sales in this business line because of benefit year timing. This third quarter was in line with that expectation, with sales doubling over last year.  School districts in particular use these offerings to provide a more robust benefits package to retain and attract staff. This fall, we were able to fully take advantage of new enrollment technology to make our group enrollment process more efficient and easier to navigate for educators.  In addition, the Worksite Direct Business where we are selling directly to individuals has returned to its pre pandemic run rate, with trailing 12 month sales at their highest level since we acquired NTA Life in 2019. In addition to our core educator niche we have built on NTAs long history with others who serve the community to further grow this business. In the two years since we began our partnership with the International Association of Firefighters, business from their local affiliates has grown to nearly 25% of new sales.  In the retail division, we are realizing the benefits of being fully back in terms of school access, in combination with the efficiencies of video interactions. For example, our agents can again offer in person financial wellness workshops in the lead up to the new school year and reestablish relationships with individual educators. This was key to the 16% increase in retirement sales quarter-over-quarter. I was able to see this for myself when I spoke to more than 1,000 educators at a back to school event in Rapid City, South Dakota in August.  Besides helping those educators understand retirement options in their state, Horace Mann showed its support with contributions to classroom projects through donors choose. We're excited to be leveraging improved school access, including placing agents in open territories. We are also gaining traction with a program to embed new agents in established offices, so they can better learn the business while supporting sales growth.  Now turning to property and casualty, and our strategy to return this business to profitability. In auto we have reached the inflection point on the path to our targeted combined ratio, as earned premium growth moved ahead of last cost growth late in the third quarter, and the combined ratio improved sequentially. Since the beginning of 2022, we have implemented an average of 19% increases in rate nationwide to address inflation and the return towards pre pandemic frequency levels.  In 2024, we are currently planning for an average of 12% to 13%, and additional rate increases nationwide. But that plan will be continuously re-evaluated to ensure we continue to address emerging lost cost trends. Our rate actions along with non-rate underwriting actions are keeping us on track to targeted profitability. As I've noted before, the property environment is challenging. Our plan to address the increased loss costs associated with the more severe and frequent weather events is multifaceted.  As we said last quarter, our strategy includes additional files rate, product changes, and enhanced modeling. In addition to rate we also use inflation guard to make adjustments to coverage values to more accurately reflect current replacement costs. These actions have brought the impact on renewal premium, to a range of 17% to 20%. As we noted last quarter, we expect to have a similar impact on renewal premiums in 2024. We continuously reevaluate the environment to ensure we are reacting quickly to changes in lost cost trends.  In addition, we are implementing product changes, particularly in areas with higher frequency of adverse weather. This includes higher deductibles as well as terms and conditions changes, like an updated age of roof settlement process. We are also integrating new sophisticated modeling tools to provide more localized insight into the impact of severe convective storms. This will assist us in making portfolio optimization decisions through rate and underwriting actions. We continue to expect to deliver our long term property combined ratio target of 92% to 93% by 2025.  Let me take a step back to revisit how a healthy P&C business fits into our long term strategy. As a multi-line provider for a niche market, our goal is to have Horace Mann customers for life, offering the solutions to meet their needs throughout their life stages. We believe this creates enduring value for Horace Mann and for our customers. While we return the auto book to read adequacy across the country, we are maintaining sales momentum to attract and cross sell more educated households.  Even with the rate impact on our property and casualty policyholders over the past year, we are seeing remarkably stable retention. One reason for this is that all carriers are addressing the current loss cost trends. But another is the value we provide to our educated customers in terms of both relevant benefits, ease of doing business, and the partnership of a local trusted agents.  In fact, in the new-year, we are enhancing our Educator Advantage program for auto and home customers, adding features and increasing the limits on coverages that are unique to teacher’s needs, such as theft of property at school sponsored events.  We are making solid progress towards our long term objectives. Our diversified business delivers operational consistency, a solid balance sheet and a compelling dividend. We are executing on our strategy to address the performance of the property and casualty segment, our retirement and life businesses solid. A steady contributor that helps us distinguish Horace Mann with educators and our supplemental and group benefits segment is exceeding our expectations in terms of both top and bottom line. Taken together, our business offers complete solutions to help school districts attract and retain quality staff, and to help educators protect what they have today and prepare for a successful tomorrow.  At the same time, we remain committed to keeping the education community at the center of everything we do. Just this week, we announced the five national winners of the Horace Mann awards for teaching excellence, in conjunction with the NEA foundation. These educators are dedicating their lives to helping our nation's children succeed. And they serve as a reminder as to why we do what we do, taking care of those who serve our communities every day.  In a year like 2023, the value of our multi line approach is clear. We are meeting the needs of all of our stakeholders, helping our customers recover from loss, supporting our employees and agents and creating value for our shareholders. The strength of our value proposition, combined with the earnings potential of our business gives us the confidence that we can approach a 10% return on equity in 2024.  Thank you. And with that, I'll turn the call over to Bret.
Bret Conklin: Thanks, everyone for joining our call today. Marita highlighted the value of our diversified business model and the momentum that we are seeing across our businesses evidenced by strong third quarter sales in the contributions of life in retirement, and supplemental and group benefits to earnings.  Now I'd like to walk you through the details of the business segment performance starting with P&C. This segments core loss for the third quarter was largely due to elevated cat and non-cat weather activity across the country, which I'll discuss in a moment. Overall, total written premiums rose by 13% is the rate actions we are implementing take effect.  New business growth is coming largely in states where we're most confident in the pricing outlook. And we're pleased to see retention remained very stable in both our auto and property lines.  Turning to auto. The year-over-year increase in average written premiums improved again in the third quarter to 16%, up from 11% in the second quarter, and 8% in the first quarter. As Marita mentioned, in auto, we believe we have reached the inflection point in the return to profitability. On premium growth moved ahead of loss cost growth late in the third quarter. The combined ratio for the quarter was 108.7%, the lowest auto combined ratio we've reported since the first quarter of last year.  In addition, vehicle repair and replacement cost inflation has moderated which is a positive as we look to achieve our targets. We will continue to take rate actions that are designed to get us to our long term target of a 97% to 98% combined ratio.  Turning to property, third quarter average written premiums were up 11% year-over-year. Our rate plan remains very aggressive and rate increases countrywide continued to be bolstered by inflation adjustments to coverage values, as well as non-rate actions that also address profitability. We are implementing roof settlement schedules for new and renewal business in several of our most prevalent wind and hail states in the first quarter of 2024.  Third quarter also was a challenging weather quarter. Total cat losses were 29 million pretax, adding 17.5 points to the segment combined ratio. In total, there were 25 cat events, including 19 severe convective storms, impacting 30 states across the Midwest and South. Further, the property underlying loss ratio of 61.8% reflected the increase in non-cat weather activity compared to the prior year.  About a third of the non-cat weather losses came from states with no declared cats, including Utah, Montana, North Dakota and Louisiana. In addition, Minnesota had 2.5 million of non-cat weather, as well is 4.6 million of cat losses. In addition to rate, the product changes and refinements to our modeling process that are underway, bolster our confidence that we are on track to address these trends and achieve our long-term combined ratio target of 92% to 93% in this business.  Although overall earnings expectations remain unchanged, due to the significant level of weather losses this quarter. We modestly lowered our P&C segment core loss expectation to between $32 million and $37 million. We're still assuming the full year cat loss contribution would be $95 million to $100 million, or about 15.5 points on the combined ratio. The longer term combined ratio target for the segment remains at 95% to 96%.  Turning to Life and Retirement, the segment continues to perform strongly with adjusted core earnings at $21 million. Net investment income increased by 19% compared to the prior year, reflecting the higher overall interest rate environment and improved returns in our commercial mortgage loan funds. In addition, our limited partnership portfolio generated a 12% annualized return meaningfully above our target run rate.  As a result, the quarterly annualized net interest spread on our fixed annuity business rose to 251 bps for the third quarter compared to 193 bps last year. Year-over-year, the net contribution from our FHLB funding agreements remained stable, although net investment income reflected higher earnings from the floating rate investments backing the program. Interest credited similarly reflected offsetting higher interest expense.  For the segment, total benefit expenses, the total of mortality costs and change in reserves relative to change in reserves more than offset lower mortality costs. For the Retirement business, net annuity contract deposits were up 16% to $126 million for the third quarter. Persistency in our core 403(b) account portfolio remains very strong with total cash value persistency at 91.7%, which was lower than last year due to surrender activity in our non-qualified account portfolio, which is a non-core business for us.  We also had another good quarter for Retirement advantage, the fee based mutual fund platform that we believe creates long-term opportunity for this business segment. Life annualized sales were flat for the quarter, but up 6.5% year-to-date, and persistency remained consistent with prior year. We continue to look for life sales as a way to initiate and solidify educator relationships and we are very pleased with the progress.  The Life and Retirement segment continues to be a pillar of stable earnings with opportunity for growth. As a result, we continue to expect 2023 core earnings for the segment to be $63 million to $65 million with fourth quarter LP returns returning to more typical levels. The longer term targeted range for the spread remains at 220 to 230 bps.  Now let me turn to the supplemental and group benefits segment where we are continuing to see the earnings diversification value of this higher growth, higher ROE and less capital intensive business. Third quarter premiums in contract charges earned were $64 million, with total segment sales of $8.1 million up 84% over last year.  Sales in our Worksite Direct business to supplemental products were up 59% and have moved ahead of the pre pandemic run rate. We expect growth to continue to accelerate in 2024 and beyond.  For the employer-sponsored business line, first and third quarter sales are typically stronger aligning with the start of annual benefits years. This third quarter, sales with employer-sponsored products were up 109% to $4.6 million, reflecting the progress made in gaining more access to districts in schools through our distribution partners. For the segment, third quarter core earnings were $15.8 million with the blended benefit ratio a 32.3%, remaining ahead of our long term target of 43%.  The benefit ratio for the worksite direct product line continues to reflect utilization below historical levels. The quarterly benefit ratio for the employer sponsored product line is expected to fluctuate, but it increased from last year's unusually favorable results for this period remaining in line with expectations.  As we noted in previous quarters, seasonal fluctuations in sales patterns and the benefit ratio are anticipated in our full year outlook for worksite. Due to the strong performance again this quarter, we've increased our expectation for full year segment earnings to the range of $52 million to $55 million.  Before I turn to investments, just a reminder, that we completed an index eligible senior debt issuance of $300 million in mid-September. The net proceeds from the sale were used to fully repay the $249 million balance on a revolving credit facility, with the remaining proceeds added to invested assets.  Total net investment income was a record for the quarter in total net investment income on the managed portfolio rose nearly 30% to $92 million as we benefit from the higher overall interest rate environments and strong returns in our commercial mortgage loan funds and limited partnership portfolios. Both the P&C and L&R segments benefited from the strong LP contributions compared with last year's third quarter. Pretax investment yield on the portfolio excluding limited partnership interest was 4.78%, with new money yields continuing to exceed portfolio yields in the core fixed maturity securities portfolio. The A plus rated core portfolio remains concentrated in investment grade corporate, municipal and highly liquid agency and agency MBS securities position us well, for a potential recessionary environment, we believe is likely to materialize over the next six to 12 months.  Our net investment income guidance is unchanged. With full year total net investment income expected to be between $429 and $439 million with fourth quarter LP returns expected to be closer to target after the strong Q3.  At September 30, adjusted book value was $35.57. Adjusted book value adjusts for both unrealized investment losses, and net reserve remeasurements attributable to discount rates and shows the intrinsic value of our business. We use adjusted book value when we talk about core ROE. The ratio of debt to capital on a similarly adjusted basis was 27.3% at quarter end remaining at a level appropriate for our current financial strength ratings.  In summary, this quarter was a solid quarter on our path to our long term P&C profitability targets with core earnings of $18 million or $0.44 per share. Adjusted book value a $35.57. Record net premiums written in contract deposits, sales growth in all operating segments, strong core earnings contributions from supplemental and group benefits in L&R segments, managed net investment income rose 29%. And finally, we continue to expect full year 2023 EPS in the range of $1.20 to $1.45.  More significantly, we continue to expect our progress towards our objectives will accelerate over the coming quarters as we remain focused on providing strong returns to shareholders.  Thank you. And with that, I'll turn it back to Heather.
Heather Wietzel: Thank you, operator. We're ready for questions.
Operator: [Operator Instructions] Our first question comes from John Barnidge from Piper Sandler. Please go ahead.
John Barnidge : Good morning. And thank you for the opportunity. Can you talk about the diversification benefit of meeting your insured's with kind of all the insurance products in the suite and how that presents a growth opportunity now that the educator has kind of truly returned to normal and worksite and supplemental group was really strong distribution in the quarter? Thank you.
Marita Zuraitis: Yes, thanks, John. And we spent a fair amount of time on this in the script because I think it's absolutely the right question the way we think about the world. We've said it before, we want educators to start their journey with us any way they choose. We also know at some point they're either going to want or need the advice of a trusted advisor at the point of sale. So when we looked at this a while back, we talked about products that were relevant to those educators, strengthening our distribution modernizing our infrastructure. And we've been on a quest to do exactly that.  So today, we have more ways for educators to start their journey with us. We’ve broadened our product portfolio and we broadened the solutions and the reason to have conversations with these educators. The diversification benefit that you've mentioned, I think is clear in this quarter from an earnings perspective, the whole industry is dealing with the current P&C environment. The rate that is coming into the auto line is certainly helping there, you saw the inflection point this quarter. For us, it's just one quarter. But that is a very good sign for us in the industry. And we're all dealing with outsized cats in the third quarter.  But you saw the diversification benefit of the other lines of business clearly come through for us in the quarter, while we're addressing with the rest of the industry, the P&C issues that are facing us. So I feel really good about how we thought about growth, how we thought about finding additional educators to start their journey with Horace Mann. And you see that with the increased household count in our core segment,  Steve, I am going to turn it over to Steve and have him talk a little bit about how we're thinking about the next phases of growth, as we think about our growth agenda going forward. Steve?
Steve McAnena: Great. Thanks, Marita. And, John, thanks for the question. I think I want to give a little context before kind of talking about the future. And I'll just sort of spend a second talking about today. And I think Marita said in her opening comments, our approach today for growth is really around keeping the engines warm as we restore P&C profitability. So to me, that means, we're emphasizing cross sell, we're equipping agents with resources to navigate the rate environment, helping them focus on life retirement.  For me, as I looked at things having been here a few months, our agency force is very healthy. And that's evidenced by the strong new business results that Bret spoke to, which are solid, but disciplines meaning we're kind of adhering to the underwriting. So I think we've adopted approach today of positioning our agency force, well, keeping them healthy. So we can accelerate growth when the time is right i.e., when profit is where we want it to be.  If I pivot and go from today to tomorrow, just a little bit of context, to sort of give you a sense for how we're thinking about things. We know that consumers are using multiple channels during their shopping journey. And so generally speaking, what that means is, most consumers want to use digital for shopping and quoting. But when they actually want to buy the policy, they want to do that with a person. And so that's good context for what we're doing and what our agenda is for growth as we go forward. And what we're doing is trying to build out three things.  First, is lead generation. For me, what that means is, it's using digital, non-digital forms of marketing. Drive educators to Horace Mann, really kind of turning us into a lead factory. And obviously, any tactics we use would be complemented with what agents already do.  The second thing is you can drive leads to you, we have to make sure you receive them and capture them appropriately. So for us, what that really means is we need to enhance our digital holding capabilities. So drive the leads and be able to quote them. And then third, is really converting leads.  And I kind of signaled this earlier, we know that a large fraction of people begin their journey online, but they want to end it offline. So what that means is, we have to have really strong analytics and process to ensure that we get online quotes that are completed to the right agents at the right time to convert the sale.  So those are the three things we're thinking about lead gen, lead, capture, lead conversion, we think that that complements our agency channel. And I'll just sort of wrap by saying, we really believe that as we go forward, integrating our channels, digital call center agents working together, aligning them with what consumer’s behaviors, a really a win win for everyone.  It'll be a win for educators because they can access us, when and where they want. It'll be a win for agents, because they will get online leads and therefore grow the book. And obviously, it'd be a win for Horace Mann, because we can sustain profitable volume. So hopefully that gives you a sense for how we're thinking about it. And again, thanks for the question.
Marita Zuraitis: Yeah, thanks. Thanks, Steve. That was great. We're all excited about the capabilities that we're building in this area. I'm going to turn it over to Matt, so that he can comment on supplemental and group benefits growth and some pretty strong numbers that we’re seeing come through that segment. Matt?
Matt Sharpe : Thanks, Marita. Thanks for the question, John. Marita mentioned in her comments that educators choose to start their journey with Horace Mann in a variety of ways. And one of those ways is through the Worksite and the benefits packages that their employers offer.  The addition of the Worksite acquisitions that we've made over the past few years gives us the ability to address the needs of those consumers through their worksite, whether they're coming at it on an individual basis through our direct business on our supplemental products, or they're coming at it through the employer -- the employee benefits package that their employer offers, through the independent benefit consultants that work with the district.  And we've seen a lot of growth on both sides of the house. In that regard, our direct business continues to grow back to the pre pandemic and beyond levels, we continue to have great momentum going on the individual side, both in our educator segment and in our others who serve the community segment, particularly in the firefighters as Marita mentioned in the script.  And then our benefit distribution partners also have done a tremendous job of expanding our reach in the employer benefit package side, either through the employer paid long term disability short term disability book, or by adding in the group supplemental products onto the platform of their customers and the employers that they serve alongside what we do.
Marita Zuraitis: Yes. Thanks, Matt. Historically, we'd always talk about whether educators started their journey through the garage or through a 403(b) enrollment. And now we have so many more ways to engage with them, and for them to start their relationship with us. And it's also exciting to see how solid the retirement book continues to do. So it's not like we're walking away from the way we used to start, we just have more ways for educators to reach us. And that's converting into an increase in overall households for us.  So thanks for the question, John, and apologize for the long answer. But we think it's the right way to think about it.
John Barnidge: Appreciate the answer. That was very helpful. In the script, you talked about new business growth greatest in states where you had the greatest confidence in price adequacy. Can you maybe give some examples of states where that is the true the where that is the case? And then inversely, some states where greatest price adequacy is needed. Appreciate that. 
Marita Zuraitis: Yes. Thanks, John. I can turn it over to Mark in a minute. But you can imagine when you are in almost all the states as we are, it is a -- it's a lot of work to look at your rate adequacy by state. We have an excellent actuarial team that does this work on a daily, weekly, monthly, maybe even hourly basis. And we have a strong drill as it relates to the rate that we need the product restrictions, unfortunately, that we may have to put in place. And I think you said it well, we do this on a state by state basis.  But I'll turn it over to Mark to provide a little specificity there.
Mark Desrochers: Sure. Thanks, Marita. And thanks, John, for the question. Yes, I think when we look at our current -- in current environment, and what we are looking at from last cost moving forward, and our rate need that, by the time we get to the early mid part of next year, we have a view that most of our states are going to be rate adequate at that point in time. And so when we talk about, are we comfortable riding business, because we had that line of sight towards rate adequacy, it doesn't necessarily mean today, but as we look at the rate, we believe we can get over the next quarter or two, do we get ourselves in line?  And I think when we look at that time horizon that in most places we're going to get there, the couple of places that remain concerns for us might be like Georgia, where there's some regulatory limitations on how much rate we might be able to get at once. And then always, California is in the back of our mind in terms of, will we get really adequate there, given some of the challenges with the regulatory environment.  What I would say is, California specifically, as you know, we have an outstanding property filing that we submitted in June and an auto filing in late July, both in the 20% to 25% range, and we've had extremely constructive discussions with the department, the property filing was in first. And we actually think we're within the next several weeks at a point of reaching resolution with that, and that we're hopeful, soon after that, that we'll be able to work through the auto filing. So if we can, you know, make some headway there, then I think, as we get to the earlier middle part of next year, we're going to feel pretty good about our rate adequacy and our ability to write through business.
Marita Zuraitis: Yes, thanks, Mark. Mark mentioned in a meeting recently that he and Steve and I had, I won't say the number but many years doing this in the P&C space. And I would dare say that this is probably the most dynamic environment that we've seen. And I think that requires good actuarial science, but it also requires flexibility.  So when we talk about our rate plans for 2024, and how much we think we will push, it is based on current data, and we have to remain flexible in that. And all I know is looking at these all the time, if rate trends continue to mitigate, then maybe you take less, if they get worse than certainly you take more, I think we have the added flexibility of our third-party strategy.  We've also talked about this not being as robust in a harder market, but we certainly have a stable of really good third-party partner carriers, when in a specific state, potentially because of scale, or in a particular environment or circumstance. We've got good third party carriers that we can use, and still maintain that P&C relationship with our educator, and we use those in a dynamic way. So appreciate the question. 
Operator: Our next question comes from Meyer Shields, from KBW. Please go ahead.
Meyer Shields: Great. Thanks. Bret, I guess, two related questions, both in terms of recruitment. So hoping to get an update, first of all on what trends you're seeing in terms of just new teachers entering the workforce and your successes in recruiting agents to Horace Mann.
Marita Zuraitis: Yes, thanks for the question. We've talked about this before, I think the teacher shortage that is clear across the country is really not good for the education system. But in an odd way, it's good for Horace Mann, meaning we don't necessarily kick the retired or previous teachers out of the club, the attributes that they have, as to why they chose the profession tend to carry through. But we also have the ability to attract those new teachers.  When we think about new teacher seminars, when we think about teaching retirement, and state retirement programs in the schools, what our agents do for new teachers entering the system, it gives us more opportunity to get access to more educators. As it relates to agent recruiting. And we said this, I believe on the last call, if not the one before. Our recruiting numbers post pandemic are actually stronger than they were even prior to the pandemic, we feel good about our ability not only to attract agents, who become full blown exclusive agents, but our ability to attract licensed producers, and expand the size and strength of the agents that we already have.  So on a recruiting front, I believe that it was very difficult during the pandemic, let's face it, we're in the worksite. And when you can't be in the worksite, that's a little more difficult to do sales the way you would normally do sales. But with everything we learned during the pandemic, and our ability now to attract agents to this value proposition, we feel good about where that stands. And that's coming as well in the growth numbers.
Meyer Shields: Yes, that's what I wanted to understand. Because I guess I had naively thought that in states where pricing isn't where you need it to be, you would hold off, I guess the diversification of product means that you don't need to do that.
Marita Zuraitis: That's exactly right. I mean, what we start with, and how we engage with these educators, if you think about it, we can tailor it, by state and by geography, right, what our agents do, what they lead with, where they spend their time. Having a captive exclusive agent system gives us a little more control over where our agents emphasize their time. And that's really done on a state by state basis, and that's very helpful for us.  Matt mentioned the cross sell, we certainly see that. So, where we put agents, where we hire agents, if you got a particularly difficult geography, you might not obviously be recruiting in that geography. So having more ways, more products, more solutions to address and have conversations with these educators, we can really do on a geography, by geography. And agent recruitment, to give you a number is up 50% year-over-year. And we would expect that, considering the environment we were -- that we were in and feel good about the future there as well.
Meyer Shields: Okay, that's very helpful. Thank you. The second question is, in terms of how we look at and I'm thinking more in fee, the level of discretionary spend, or like the expense ratio, because I'm thinking, it's not like you're doing a ton of advertising that you're pulling back, but there's more offsets from business tech to other carriers. Especially think about how much that should move, like how much the expense ratio, which was really good in the quarter rises when we get back to normal?
Bret Conklin: Yes, Meyer, this is Bret I actually, as usual, I wouldn't get overly excited with one quarter, you're right it, I think it was below 26%, 25.8%, just for the standalone quarter. But if you look at the expense ratio, on a year-to-date basis, for the nine months, we're basically hovering right around 27%, which is typically around the area we would guide to the 27% to 27.5%.  So I wouldn't, I don't think our philosophy with expenses is really going to change, I think we're a good steward of what we spend. And I would say, probably in the last two to three years, specifically, I think we're doing a very good job of balancing kind of the run the railroad expenses, and at the same time, focusing on the strategic initiatives that we've set out. That in the current environment are focused on growth, where it's profitable, as we've talked about early today.  So it's not the first quarter where expenses can go down a little bit, or we have quarters where they may be higher than the typical 27% to 27.5% expense ratio. But I don't think you need to think about the expenses going forward any differently other than the fact that we're going to continue to balance between what we need to run, run the ship, if you will, and then also being focused on strategic growth initiatives. 
Marita Zuraitis: Yes, Bret, that's really well said what we spend hasn't really changed, as Bret said. We remain consistent and disciplined on the expense ratio that we have talked about, pretty consistently. How we spend it, has changed a lot. We funded for at least two major acquisitions that brought us the diversification that they were intended to, and have a lot of excitement about what they will become over time, especially as it relates to cross sell, and educator data, and info.  And, we are also funding for systems modernization, Guidewire implementation and Lifepro implementation isn't inexpensive. But we're doing these things while remaining consistent in what we spend. So Steve mentioned some of the digital capabilities. We talked about what we do on our website, how we engage with customers in our contact center. These are investments that are underway, but yet we made a commitment that we would do it in a very consistent way as far as what we spend. So I think Bret is right, what stays consistent is how changes based on the strategic initiatives we have in front of us and a track record of doing it without blowing the budget, if you will.
Meyer Shields: Perfect. Thank you so much. It really helps.
Marita Zuraitis: Thank you, Meyer.
Operator: The next question comes from Greg Peters from Raymond James. Please go ahead.
Unidentified Analyst : Hey, good morning. This is Sid on for Greg. In the prepared comments. You mentioned vehicle repair and replacement costs have moderated. Can you just comment on what you're seeing is driving the moderations there? And if you're seeing any easing of pressures and other areas like bodily injury?
Marita Zuraitis: Yes, I can turn that over to Mark. I know that he has answered this question for all of us. So let him answer it for you. Mark?
Mark Desrochers: Sure. Yes, I think when we look at vehicle repair costs, we're seeing it primarily in parts. And the fact that use car indexing is the pricing is coming down, so the cost of total losses is coming down. Offsetting it a little bit is continued pressure on labor costs and time to repair in terms of the cycle time. So, we're spending more money on rental vehicles and things like that. But, overall, we've definitely seen a moderation from mid to high double digit severity trends down into the mid to low -- I'm sorry, mid to high single digit. On the, the injury side, what I would say is, it's still stubbornly high, maybe moderated slightly from where we were a year ago, in terms of injury severity, but I think we are still seeing some of the impacts of social inflation. As you know, all the court systems are kind of fully open and operational now. So we are seeing some impact there. So definitely remaining a little bit higher on the injury side, but that have some optimistic viewpoint on the physical damage side.
Marita Zuraitis: Yes, thanks, Mark. And it may be obvious, but all those things are obviously contemplated in Mark's refiling -- filings.
Unidentified Analyst : Yes. All right. Thanks for the answer. 
Operator: This concludes our question and answer session. I would like to turn the conference back over to Heather Wietzel, for any closing remarks.
Heather Wietzel : Thank you. And thank you, everyone, for joining us today. I know it's a busy time, so if you step back next week and want to talk further, feel free to reach out, we'll arrange for conversations. We did want to let everyone know we will be doing meetings with both GMP and Piper over the coming weeks. So that's another opportunity to have a chance for an extended conversation. So have a great day.
Operator: Conference is now concluded. Thank you for attending today's presentation. You may now disconnect.